Operator: Good day, ladies and gentlemen, and welcome to the Inuvo, Inc. Third Quarter 2025 Earnings Call. [Operator Instructions] This call is being recorded on Thursday, November 6, 2025. I would now like to turn the conference over to Katie Cooper, Director of Marketing. Please go ahead.
Katie Cooper: Thank you, operator, and good afternoon. I'd like to thank everyone for joining us today for the Inuvo third quarter 2025 shareholder update call. Today, Inuvo's Chief Executive Officer, Richard Howe; Chief Financial Officer, Wally Ruiz; and Chief Operating Officer, Rob Buchner, will be your presenters on the call. We would also like to remind our shareholders that we plan to file our 10-Q with the Securities and Exchange Commission this evening. Before we begin, I'm going to review the company's safe harbor statement. The statements in this conference call that are not descriptions of historical facts are forward-looking statements relating to future events, and as such, all forward-looking statements are made pursuant to the Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties, and actual results may differ materially. When used in this call, the words anticipate, could, enable, estimate, intend, expect, believe, potential, will, should, project and similar expressions as they relate to Inuvo, Inc. are as such a forward-looking statement. Investors are cautioned that all forward-looking statements involve risks and uncertainties, which may cause actual results to differ from those anticipated by Inuvo at this time. In addition, other risks are more fully described in Inuvo's public filings with the U.S. Securities and Exchange Commission, which can be reviewed at www.sec.gov. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events or circumstances after the date hereof that bear upon forward-looking statements. In addition, today's discussion will include references to non-GAAP measures. The company believes that such information provides an additional measurement and consistent historical comparison of its performance. A reconciliation of the non-GAAP measures to the most directly comparable GAAP measures is available in today's news release on our website. With that, I'll now turn the call over to CEO, Richard Howe.
Richard K. Howe: Thank you, Katie, and good afternoon, everyone. For the third quarter of 2025, Inuvo delivered $22.6 million of revenue, roughly flat year-over-year. For the first 9 months of the year, Inuvo has delivered $71.9 million in revenue. We're pleased to report a strong 25% year-over-year growth through the first 9 months. That said, Q3 results fell short of our expectations, primarily due to a deliberate reduction in advertising spend starting in mid-August. This step was essential to align with updated requirements from our largest Platform client, enabling us to sustain and scale our partnership longer term, a move we had previewed earlier. October revenue within Platforms was back up year-over-year. The technologies required to meet the clients' needs are now in place and are already helping Inuvo avoid compliance risks and facilitate future growth within this large client. I will talk more about these products and technological advances later in my comments. Therefore, we experienced a roughly 5% decline sequentially in Platforms and a roughly 29% sequential growth within Agencies and Brands. Both Platforms and Agencies and Brands are up year-over-year through the first 9 months of 2025. Wally will discuss the financials in greater detail during his section. We have 2 notable items to share with you related to the business on this call. First, we've been working on a multimillion dollar contract with a government organization where the government shutdown has delayed the signing. I highlight this deal because it's a prime example of the larger opportunities we will be pursuing. Rob Buchner, who I will introduce in a few minutes, will talk about this during his remarks. Additionally, we have been a party to a large class action lawsuit that has now been settled. According to the attorneys representing the class and the verifiable claims we have, we expect a substantial payout in the first quarter of 2026. We remain optimistic about achieving our revenue goals for 2025 and want to reiterate that Q3's performance was not a function of reduced demand, but rather additional preparation required to onboard demand. Our largest IntentKey clients 2025 final budgets are now locked in. Based on those budgets, our top 5 clients are expected to have grown over 65% year-over-year by the end of calendar 2025. I'd also like to mention that we recently hired a Chief Operating Officer. Rob Buchner brings to Inuvo a successful career as a CMO, a CEO and an entrepreneur. With his history as a deal maker, Rob is uniquely positioned to help Inuvo monetize the industry-leading AdTech products we have built at this critical stage of our evolution. Rob joined Inuvo 10 months ago, progressing from go-to-market consultant to a Board Member, and now Chief Operating Officer, where he can now have an even bigger impact on the company. Let me now turn the call over to Rob for a go-to-market and client activities discussion.
Rob Buchner: Thanks, Rich, and hello, everyone. I want to start by framing the immediate growth opportunities for IntentKey product, driven by my broad view of the ad industry at this critical moment in AdTech. I bring a unique perspective to Inuvo, having enjoyed a far-reaching career in what I call the creative sciences. That being the co-mingling of brand content, emerging media technologies, and real-time data and analytics. I've organized business units around this operating model at 2 national agencies within 2 of the world's largest holding companies: Publicis and IPG. As CEO at Campbell Mithun, I commissioned a programmatic trading arm in 2013, years before most agencies knew of its significance. Today, programmatic is a $200 billion marketplace, and I intend to marshal my business development skills and leverage existing C-suite relationships in this new role. The marketers I speak with aren't just confused. They suffer from AI fatigue. It's understandable. The market is saturated with antiquated AdTechs wrapping inferior, offering cookie-dependent data around general AI with little to no positive effect. The AdTech landscape is experiencing seismic shifts and structural failure. The legacy programmatic spine is breaking, not just due to cookie dependency, but from the fatal design flaws of data latency and signal loss. Stalking people around the Internet is not the future. IntentKey is the antidote for this privacy-first post-cookie environment. Our go-to-market is shipping decisively upstream. We will pursue million-dollar plus service deals with CXOs inside brand organizations, leaders who control budgets, and are ensnared by diminishing returns in performance marketing. The IntentKey value story resonates most clearly with senior executives who have branding authority and are directly accountable for business results, the very decision-makers who have historically been a challenge to reach. Case in point, the pending government contract, which Rich referenced, was a direct result of Tim Flynn, retired admiral of the U.S. Navy and former executive at Intel, who has joined our team in an advisory role. We have others like Tim, who have had brilliant careers in our trusted executives, now partnering with Inuvo to actively unlock access to the C-suite and accelerate enterprise adoption. I see this as a strategic means to securing significant future enterprise deals. We are actively structuring brand-direct deal terms to accelerate this high-value growth and upskilling our account management organization to capitalize on growth within existing accounts. As of the end of the third quarter, we now have 44 self-service brands, including companies like Kia, Apple, Crate & Barrel, CB2s brand, and others. Critically, we'll continue to aggressively scale self-service deals, in part because it's the easiest way for clients to use our AI and because this component of our business generates margins of nearly 90%. Furthermore, our predictive mixed media modeling is an undervalued asset. It is a critical, high-margin solution for brand stewards and natural on-ramp for the broader IntentKey deployment. Integration of IntentKey through partnerships is another area of emphasis. We are actively pursuing holding companies, adjacent AdTechs and commerce media players. We expect success on this front to generate significant high-margin revenue in 2026. Our managed services business remains robust. We added several new brands in Q3, including a major healthcare provider who recognized IntentKey's targeting leverage for open enrollment this fall. And finally, we're elevating our marketing efforts around 2 key objectives. First, sharpening our value proposition by highlighting a predictive edge. Our Platform forecasts purchase intent 24 hours ahead of legacy programmatic tools. This delivers a clear, measurable advantage that sets us apart. Second, we're showcasing a more intuitive user experience by integrating it across all sales and marketing channels, thereby boosting awareness and easing adoption. Rich will dive deeper into this enhanced IntentKey during his products and technology session. My goal is to take what are the most innovative and performative products in AdTech and scale them to the next level. I was recently reviewing an independent analysis of performance within one of our largest clients. This study concluded that Inuvo had achieved 20% to 40% higher efficiency compared to legacy ID-based solutions, and a staggering incremental return of 400% to 600% across connected TV and display advertising. Thanks to a great product and a sharpened go-to-market strategy, our current pipeline is -- already features a number of high-profile brands that represent substantial future potential. And with that, let me now turn it back over to Rich to discuss products and technology activities.
Richard K. Howe: Thank you, Rob. As I mentioned in my opening remarks, our Platform business maintained stable performance in Q3. And while the focus shifted briefly to prioritizing advertising compliance and quality, the operations team actually took this opportunity to expand the network through a mix of new site additions and improved engagement across our existing network. This will help us safely fulfill the backlog of demand that is growing within the Platform's product line. In today's advertising environment, advertising integrity is finally becoming a strategic advantage. This Platform client has now implemented more stringent policies that reward trusted high-quality suppliers, exactly the standard Inuvo was built to exceed. Our consistent investment in quality has positioned us not just to benefit from this shift, but to help define it. And this was evident in our ability to implement complex technical changes that quickly met the needs of this client. And that brings me to a critical innovation we have introduced within Platforms, which we have now called Ranger. Ranger is a next-generation compliance and quality capability embedded within our Platform solution. It leverages advanced AI to ensure every ad creative we deliver is aligned with the post-click experience. In a market where generative AI has drastically accelerated the speed and volume of ad production, this alignment has become more difficult and more essential than ever. Whether it's a headline, an image or a video, Ranger analyzes the creative content and compares it to the landing page the media asset is promoting, validating that the message is accurate and aligned. This protects the user, the advertiser and our client. It prevents misleading content from slipping through and gives our clients full confidence that the ads Inuvo is serving exceeds policy standards. And more importantly, the consumers' expectations. Let me be clear, Ranger was purpose-built to combat one of the fastest-growing threats in digital advertising, creative and media misalignment that can lead often inadvertently to fraud, and it's working. Today, we use Ranger internally to safeguard our own campaigns, but its broader application is substantial. Ad buying Platforms, networks and major brands are increasingly in need of real-time assurance that their creative assets won't be flagged, penalized or worse, cause harm to their brand reputation. The future of advertising demands trust, and it demands alignment between message and experience, and it demands that AI not just automate, but it accounts. With Ranger now deployed within Platforms, we have both product lines supported by sophisticated artificial intelligence that aligns around a simple premise that the reasons why people are interested in the ads should align with the reasons why audiences consume content within which the ads are shown. Ranger is already opening new Platform opportunities. Recently, we co-hosted a joint webinar with TikTok's product, policy and go-to-market teams that has already resulted in over 15 new media buying leads. In the third quarter, we also continued to advance the technologies that power the IntentKey in our Agencies and Brands product line. And in so doing, have reinforced Inuvo's position as the market leader for proprietary large language generative AI purpose-built for advertising. We recently launched a completely redesigned audience discovery portal that further cements our leadership in this AI-powered ad technology. We now provide next-day predictive indicators for audience size and sentiment trends, offering clients early signals on likely audience intent shifts. We have a new trending geographical map, which visualizes emerging consumer intent across the top 10 U.S. states, supporting geographically informed creative and media decisions. And we also completely reimagined how a consumer's intent changes as they journey from passive interest through active consideration. And furthermore, we introduced a multi-segment audience modeling where the IntentKey now automatically generates up to 3 unique audience subgroups with individual summaries and performance percentages. And finally, we enriched our demographic insights by retraining our AI on the latest U.S. census data. And once again, in an industry first, we have aligned this data not with people, but rather with concepts, and in the process have made our proprietary IntentKey signals even more powerful. For Agencies and Brand clients, our campaign performance metric came in at 45% above average client KPIs within the quarter. And while Agencies and Brands' margins declined slightly, this was a result of the scaling of our largest services clients, as I mentioned in my opening remarks. The strategic foundation we've laid is paying off. The self-serve business continues to gain momentum. These enhancements we've introduced make it easier and faster for clients to harness the power of our AI. And at this time, I would now like to turn the call over to Wally for a more detailed assessment of our financial performance within the quarter.
Wally Ruiz: Thank you, Rich. Good afternoon, everyone, and thank you for joining us today. I'm pleased to share our financial results for the third quarter of 2025. Revenue for the quarter was $22.6 million, representing a 1% increase year-over-year. The growth was driven by increased demand from our Agencies and Brands' clients. Platform revenue was $18.7 million, down from $18.8 million last year. As Rich previously mentioned, we slowed the scaling of our largest Platform client during the quarter to complete the development required by the client. However, partially offsetting this decline, our second largest Platform client continued to ramp the new campaign introduced in the fourth quarter of last year and yielded a fourfold increase in revenue. Revenue from Agencies and Brands totaled approximately $3.9 million for the quarter, a 7% increase over last year. We onboarded 23 new clients in the third quarter, as mentioned, and we now have 44 clients using our self-service product. These self-service clients represent future growth potential with the benefit of being our highest margin product offering. Cost of revenue increased to $6 million, up from $2.6 million in the third quarter of last year. This was by the new campaign with the Platform client that I just mentioned. Unlike other Platform clients where the cost is reported as a marketing cost, the campaign with this client is accounted for as a cost of revenue. Our cost of revenue is primarily payments to website publishers and app developers who host our ads as well as media costs for our Agencies and Brands' clients. Gross profit was $16.6 million compared to $19.8 million in the same quarter last year. Gross margin declined to 73.4% from 88.4%, which was anticipated due to the accounting required for the new campaign that I had previously mentioned. Operating expenses totaled $18.2 million, down 16% year-over-year. The largest driver of lower operating expense was $3.6 million to lower marketing costs associated with lower revenue from our largest Platform client. Compensation expense increased by $39,000 in this year's quarter compared to last year, primarily due to accruing a separation expense -- separation expense this year. Headcount remained stable at 80 employees at quarter end versus 82 at quarter end a year ago. General and administrative expenses increased by $110,000, largely due to the absence of a $100,000 allowance reversal recorded in the third quarter of last year. Other income was $48,000 compared to 0 in the same period last year. And net financing expense was $114,000 compared to $101,000 a year ago. Adjusted EBITDA was a loss of $670,000 compared to a loss of $357,000 in the third quarter of last year. Net loss narrowed to $1.7 million or $0.12 per share versus a loss of $2 million or $0.15 per share a year ago. We ended the quarter with $3.4 million in cash and cash equivalents. The same amount was drawn down from our $10 million line of credit. With the available borrowing capacity we have, we believe we have ample flexibility for continued investment and support of our operational needs. With that, I'd like to turn the call back over to Rich.
Richard K. Howe: Okay. Thanks, Wally. In Q3, we delivered $22.6 million in revenue, flat year-over-year. However, we remain up 25% through the first 9 months. We deliberately slowed growth from our largest Platform client to complete a major compliance upgrade, including the launch of Ranger, our new AI-driven ad quality system. This investment strengthens our foundation and positions us for a sustained scalable growth. Operationally, we're shifting upstream, targeting larger brand-direct deals while continuing to scale our high-margin self-serve IntentKey product, now used by major brands. We're also seeing increased adoption of our predictive media mix modeling, which is becoming a key entry point for a broader IntentKey engagement, and we completed a series of enhancements to the self-serve portal. Despite the pause in Platform growth, demand remains strong. Our top 5 Agency and Brand clients are projected to grow over 65% this year. And we have a major government contract delayed but pending, and we expect the cash payout in Q1 2026 related to a settled class action lawsuit. We remain optimistic on achieving our 2025 goals, and we are building real separation in a transforming AdTech market. I will now turn the call over to the operator for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Scott Buck from H.C. Wainwright.
Scott Buck: Rich, I'm curious, when you onboard 23 new clients in the quarter, do they immediately start generating revenue? Or is there typically a 30-, 60-, x-day lag before you start to see like a real ramp?
Richard K. Howe: It's -- they get on pretty quickly and they start spending, but it's typically small amounts, Scott. So they're sort of testing the wires, I guess, and the plumbing and seeing how it works. And then you see it ramp. And then they start spending more, and they start spending more, and they start spending more. This is self-serve I'm talking about now because the bulk of the clients that we signed in that '23 number were self-serve clients.
Scott Buck: Yes. So there's a cumulative effect, I guess, to how the revenue ramps. Okay.
Richard K. Howe: Yes. I think they're trying to compare us to other tactics they're deploying and seeing how well it works. So they ease into it.
Scott Buck: Yes. No, that makes a ton of sense. On self-service, you're up with 44 clients there. I'm curious, as that business is scaling, what feedback you're getting from those clients and whether or not it's changing the way that you go and market the product to new Brands or Agencies?
Richard K. Howe: It is changing the way that we're building the product and marketing it. And one of the statements I made in this call is we did a complete overhaul of the interface to the self-serve portal. And in part, that's as a result of feedback. Feedback, like some things are a little harder to use than clients would want, efficiencies, more data. So yes, we definitely use that feedback loop to both improve the product and to change the way we market, if you will, and go to market and our messaging for go-to-market.
Scott Buck: Perfect. And then last one, Wally, I would assume that sales and marketing expense is kind of moving back to kind of previous run rate here in the fourth quarter from the dip you had in the third quarter. Is that fair?
Wally Ruiz: Yes. It should start moving up in direct relation to our Platform revenue ramping up.
Scott Buck: Yes. Okay. Just wanted to make sure it was temporary and not a more permanent change.
Wally Ruiz: No. It was temporary.
Operator: Our next question comes from the line of Brian Kinstlinger from Alliance Global Partners.
Brian Kinstlinger: Inuvo was well ahead of the market in identifying, I believe, the need for AI for targeted AdTech to drive improvement in campaign outcomes. And more than ever, enterprises are looking for ways they can utilize AI. And my sense is brand awareness remains the biggest challenge for Inuvo. So I'm curious how Rob in his new role is thinking about new advertising and marketing ideas. And what do you think held back greater adoption of IntentKey thus far?
Rob Buchner: Well, yes, Brian -- it's Brian, right?
Brian Kinstlinger: Yes.
Rob Buchner: Yes. Look, it's tough to be a marketer right now because there's such an onslaught of new technologies out there. So our job, I think, is to be memorable, first of all, in getting our message to them in economic terms, because the greatest advantage that IntentKey offers is incremental return on ad spend. Our performance consistently outperforms others. And the way the models are shaped, and the fact that we're able to identify audiences 24 hours and bid directly into the bid stream actually affects the supply-demand economics. So you're actually bidding without the commoditized rush, say, I like this example in the open enrollment period for healthcare. All healthcare are targeting the same blocks of people, but we're able to find the nuances, we're able to find them in real time, and we're able to activate our buys. So taking those use cases forward to create momentum for the brand and additional adoption is going to be critical.
Brian Kinstlinger: Great. And maybe Wally or Rich, can you talk about the advertising and marketing budgets, what they look like maybe in '25 and how you're thinking about 2026?
Richard K. Howe: I think that's you, Wally. Is there an expense question, Brian?
Brian Kinstlinger: Yes. I'm just curious how much the company is spending on getting its name out there and brand awareness.
Richard K. Howe: That's a different question. Actually, Rob is on the phone. He's got marketing now. You might want to talk about that, Rob, and what you're planning for marketing the company.
Rob Buchner: Yes. So -- yes. So the tried and true way is through thought leadership, right? This is a very concentrated group of marketers in the programmatic space. So attending these conferences, coming out with a point of view, making sure people understand the advantages vis-a-vis other AdTechs right now, and stepping outside the noise of the category is really important. So we will be promoting ourselves in the right places. We're going to leverage some of our key players who are developing really a big social footprint. We've got some individuals on our team that are really leading the conversation in the industry. So not necessarily ad budgets to promote, though that's on the table as we go -- ironically, we're going through some budgeting at an off-site next week. So we're going to step up our visibility. And all the marketing materials that we're going to market with will be pulling out of the user experience. The data visualization tools that we have on the interface are very distinct. And so we're repackaging our story, I guess, is what I'm saying.
Brian Kinstlinger: Great. That's helpful. And then you mentioned, Rich, that your largest Platform provider is going to reward, based on performance. Can you expand a little bit on that? Are they going to evaluate distribution annually, quarterly and redistribute? How are you thinking about that?
Richard K. Howe: So we're not sure yet because it hasn't been made clear to us exactly how this is going to play out. But what I will tell you is, as you well know, Brian, I mean we really did design for changes that are occurring in the marketplace. And this particular client has very much accelerated their desire to make sure that any ad that comes from one of their clients is -- has a high quality, high quality, both in the ad itself and in the place the ad is going to be shown. And we were able to adapt to that. And we think going forward with them contractually that we may see some benefit to the quality. This is not atypical, by the way. So I know it sounds like a long drawn-out answer, but this happens -- and it's happened to us with other larger clients where there's a reward, if you will, in terms of your take when the quality standard, which gets measured is higher. So we expect that to happen here, because it seems to be heading in that direction. And if I could just add something on it as a trailer to the question you asked Rob because I didn't -- I don't want it to be missed by shareholders who are listening. We really have changed the way we're going to market. Up until Rob's arrival, we were, for the most part, chasing mid-tier agencies. And we just found that those deals were too small. And it was hard. There're still clients, by the way, and we will still chase that. But Rob has upscaled us quite quickly in terms of our focus. And he talked about Tim Flynn, the former rear admiral, but this is probably the best marketing you can do is to align yourself with people who have credibility and are -- have relationships. That's the way we get into the corner office of larger deals, and it's proving to be true, and it's working at least with the short number of them that we have and have started now. And I might have missed that, Brian.
Brian Kinstlinger: I'm going to ask one more question and get back in the queue because I have a few more, so there might be some others. Can you -- you mentioned the class action payout in the first quarter. Can you quantify what that is?
Richard K. Howe: I specifically didn't. I just said it was significant. So it will be in the millions. And so yes, I think I'll leave it at that. Let's just say it's been settled. So that's the good news. It's been settled and we are aware of what our claims are, and that we have been told we will get them paid out. And maybe I'll add one other piece of information, which is the last time we spoke to the people responsible for administrating these things, they said that the payouts would probably start in late this year, so sometime in December or in January. So that's why I said in the first quarter, because at this point, that's the best I can tell you.
Brian Kinstlinger: Got it. I'm going to sneak one last one and sort of get back in the queue. The business clearly and the industry is always seasonal. Is there anything in this fourth quarter that makes it more or less seasonally strong than typical? And those are all my questions.
Richard K. Howe: I don't think we're seeing any systemic seasonality differences year-over-year.
Operator: Our next question is from Jack Vander Aarde from Maxim Group.
Jack Vander Aarde: Okay. Great. Rich, I joined a little late. It's a busy night in earnings. But to avoid asking any repeats, you've been an innovator your whole career. And with this a true differentiated AI technology like IntentKey that mimics the human brain, as it figures out the why, there's a lot of unique opportunities out there for the technology beyond just AdTech. I would love to get your potential out-of-the-box ideas, whether they're just an idea one night or whether they're actually maybe potentially formalized. Are there any opportunities you see that are emerging today to expand the use case of IntentKey as is to another market that no one is thinking about like maybe predictions in sports betting? That's been a huge hotspot. And then maybe growing layoffs from the government shutdowns. You've used your technology before for hiring obscure -- helping hire jobs that maybe are difficult to find the right kind of employee. Any out-of-the-box ideas that we're not thinking about that you are?
Richard K. Howe: Yes. Well, some of them we're already doing. And in fact, the government contract that I referenced is one where we're actually finding hard-to-find employees. So I'll leave it at that, all right? So yes, there's lots of them. And some of them we're already deploying. We try to stick right now though, Jack, to our bread and butter. I mean we are in advertising. And so we don't try to skew off too far from additional use cases that are related to advertising. One of the ones we've long known we should probably be doing is just generating creative content from the information the AI generates about products and services, and have that just happen automatically within our platform. So yes, there's lots of these. I could probably -- there's a list of them. But we -- at this point, our focus remains -- we're in a gigantic market. They spend a lot of money. Change takes time with large industries that have lots of suppliers who are hanging on for dear life. So we're trying not to get too far askew and start something else. So maybe the innovator in me is trying to hold a little bit. We've got more than enough innovation. We literally have the best technology in this area. So let's keep building on that and go get that market.
Jack Vander Aarde: Got it. No, that makes tons of sense. But I'm not sure if you've seen the news with Kalshi and Polymarket in the space. It's creating quite a buzz. And I think you have a unique technology with predictions essentially, that kind of map out the decision-making process. Just interesting food for thought. Maybe just one more and not to try to pin you into another question about something that you're not doing currently, but just digital assets, cryptocurrencies, NFTs, is this anywhere on your guys' radar? Do you have any comments on the space? Are you looking at it? Just would love to get your thoughts there.
Richard K. Howe: I'd say only in a cursory way. So of course, we're interested in what's going on there and we're following it. But no, there's nothing on paper that we've laid out and said, hey, here's a solution to this or some structure that we should put in place to go after this at this point, Jack.
Jack Vander Aarde: Okay. Great. And I heard about the legal win. And obviously, you just talked about that with another analyst. I'll probably follow up with that at another time, but that sounds interesting as well.
Operator: Our next question comes from the line of Jon Hickman from Ladenburg.
Jon Hickman: Rich, I just have 2 questions. So this payout that you referenced, that is money you're receiving, not money that you have to pay in penalties?
Richard K. Howe: Correct. Yes, we are a plaintiff to the class action. So the money is being paid to us.
Jon Hickman: Okay. Great. Had me like nervous there for a minute. And then my other question is…
Richard K. Howe: Well, thank you for that, in case somebody else got confused by it, so.
Jon Hickman: Yes. So in your prepared remarks, you mentioned that you're on track with your revenue goals. Can you elaborate on that comment? The revenue goal that I thought you had was $100 million for this year. Is that accurate or --?
Richard K. Howe: We're trying -- yes, I mean, I think the best way to answer this question is we do have a 25% growth rate through the 9 months, right? So I mean, we'd very much like to continue with that and we think that will get us to our goal.
Jon Hickman: Well, that portends a fairly large Q4. I mean, greater than anything you've ever done.
Richard K. Howe: Hey, Wally, do you want to add anything on that?
Wally Ruiz: Yes. Jon, if you look at our trailing 12 months, we're at $98 million, right? So yes, I mean, we expect Q4 to be our best quarter. So it's -- look, without giving any guidance, it does look like it's possible to do. So yes, there we are.
Operator: There are no questions at this time. I would like to hand the call back to Mr. Howe. Please go ahead, sir.
Richard K. Howe: Thank you, operator. And as always, I'd like to thank everyone who joined us today on the call, and we appreciate your continued interest in our company.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.